Operator: Good day, ladies and gentlemen, and welcome to the Matrix Service Company Conference Call to Discuss Results for the Third Quarter ended March 31, 2013. [Operator Instructions] I would now like to turn the call over to Kevin Cavanah, Vice President and CFO of Matrix Service Company. Please go ahead, sir.
Kevin S. Cavanah: Thank you. I would now like to take a moment to read the following. Various remarks that the company may make about future expectations, plans and prospects for Matrix Service Company constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our Annual Report on Form 10-K for the fiscal year ended June 30, 2012, and in subsequent filings made by the company with the SEC. To the extent the company utilizes non-GAAP measures, reconciliations will be provided in various press releases and on the company's website. I will now turn the call over the John Hewitt, President and CEO of Matrix Service Company.
John R. Hewitt: Thank you, Kevin, and welcome, everyone, to our third quarter fiscal year 2013 update communication. For the 9 months ended March 31, 2013, Matrix Service Company has total recordable incident rate, or TRIR, of 0.61. While compared to the United States construction industry at large, this is nearly 10x better than the average. We will not be satisfied until we achieved a consistent 0 incident performance. Our major focus areas for the year have been a direct dialogue with all our employees by our Vice President of HSE and myself related to a 24/7 safety culture, individual accountability and every person's ability to make a difference in our business safety success. In addition, we are improving our lessons learned processes by training all of our HSE professionals and many operating managers through an NSG- recognized program called TapRooT Incident Investigation. As noted in previous quarters, we feel our safety performance is a major differentiator in the markets we serve and represents one of the primary reasons why customers choose Matrix Service Company over our competitors. Last quarter, we spent some time discussing the charge we took on a Storage Solutions project in Western Canada. We are scheduled to complete this project in the next 30 days as planned, and that project is materially inline with the previous forecasted financial income. In our Storage Solutions segment, we continue to see strong demand for aboveground storage tanks, terminal projects and balance of plant opportunities throughout North America. While the demand continues to be very strong in Western Canada, all of North America is exhibiting considerable opportunities for growth. Much of this growth is created by the energy production in new shale oil and gas plays, as well as the Canadian oil sands development. Midstream and downstream companies are expected to invest considerable amounts of capital and take advantage of these domestic North American oil and gas developments by installing new and upgrading existing pipelines, terminals and associated storage. In addition, the new business markets and economic realities of a cheap domestic gas supply is still in our opportunity funnel with a variety of cryogenic and non-cryogenic project opportunities. While the growth in Storage Solution continues to exceed estimates included in our strategic planning process, operating results this year have been below our expectations. The Western Canada project I noted previously was obviously a major contributor to this, but we are also experiencing lower-than-expected margins on repair and maintenance work. Finally, while our book has been very strong in this segment, the actual start dates of many projects have slipped as our clients finalize their project spending plans, permitting and technical requirements. Despite this, segment backlog has grown 37.1% from June 30, 2012, with $384.6 million of new work booked year-to-date. While the project charge in Western Canada -- with the project charge in Western Canada behind us, we expect operating performance in this segment to improve as the start of new projects accelerate with the planned increased capital spending of our North American clients. The Industrial segment completed a strong quarter with new awards of $69.5 million. Backlog as of March 31, 2013, was $88.2 million, up nearly 5x from June 30, 2012. Our mining and minerals operations in the Mountain West states continue to gain traction as customers are responding favorably to our combined service offering and appreciate our entering into the market. In the third quarter, we were awarded a significant new projects for the engineering, fabrication and construction for the Phase I of the storage liquefaction and load out portion of a new fertilizer plant in Iowa. This award represents a major milestone in our strategic plan as it demonstrates the breadth of our engineering, fabrication, construction and project management capabilities to execute a major capital project. This project is ultimately driven by the ability of chief abundant natural gas in North America. I'm happy to report that the segment produced a profit in the third quarter, which is ahead of our expectations. Along with the positive operating results and the growth in backlog, we believe the Industrial segment is positioned to achieve our expectations for the fiscal year. The operating performance in our other segments, Electrical Infrastructure and Oil Gas & Chemical, have been above expectations. While the backlog has been essentially flat in the quarter, both segments are gaining more market momentum and brand recognition. Finally, we feel very good about the spending patterns of our clients in these sectors and believe both represent significant growth opportunities from the business over the next several years. On the acquisition front, the integration of our Pelichem Industrial Cleaning Services business has gone very smoothly, and through the third quarter, its performance has exceeded our expectations. I want to thank both our new and existing employees involved with making this transition to Matrix successful. On top of the core performance success of the business, we are already seeing great opportunities to leverage our other turnaround maintenance and construction services across these new clients and geographies. We continue to look for similar industrial cleaning opportunities throughout North America to build on this strategic expansion concept. In addition, we remain focused on other acquisitions that expand our electrical businesses into new geographies, as well as strengthening our core construction, maintenance and repair services offering across our segments. I'll now turn the call back to Kevin to discuss the details of our financial performance. Kevin?
Kevin S. Cavanah: Thanks, John. I will start with the third quarter results. We generated record revenues of $226.0 million in the quarter as compared to $183.9 million in the third quarter last year. The 22.9% increase in revenues was due to growth in all 4 of our segments, with the Oil Gas & Chemical and Industrial segments contributing the most significant growth. Consolidated gross profit was $23.1 million in the 3 months ended March 31, 2013, versus $19.8 million in the 3 months ended March 31, 2012. Our consolidated gross margins were 10.2% in the current quarter as compared to 10.8% in the third quarter last year. Fiscal 2013 third quarter gross margins were negatively impacted by the settlement of a contract dispute related to a Storage Solutions project performed years ago. While we have reserved for the exposure, the ultimate resolution exceeded our previous expectations and resulted in a charge of $1 million. In addition, the quarter was impacted by the recognition of $5.2 million of revenue at 0% margin for the work performed on the Canadian tank project John discussed earlier. SG&A expenses were $14.7 million or 6.5% of revenue in the 3 months ended March 31, 2013, compared to $12.4 million or 6.7% of revenue in the same period last year. The increase is consistent with our plan, which included investments in strategic growth areas and related support functions. These investments include expanded operations with new locations in several states, employee recruitment and development, acquisition-related costs, as well as marketing and system development cost. Our effective tax rate was 21.2% for the current quarter as compared to 32.5% in the third quarter last year. The tax rate was positively impacted by the benefit of retroactive tax legislation passed in the third quarter, extending certain tax benefits, including credits available for research and development activities. Based upon the current environment, we now expect our effective tax rate on future earnings to be 38% as compared to our previous expectation of 39%. This quarter, we produced net income of $6.5 million and fully diluted earnings per share of $0.25 as compared to net income of $4.9 million and fully diluted earnings per share of $0.19 in the third quarter of the prior year. Moving to the segment results. The Electrical Infrastructure segment revenues increased from $37.6 million in the third quarter of fiscal 2012 to $41.7 million in the third quarter of fiscal 2013. The 10.9% revenue increase was primarily due to increased levels of transmission and distribution work in the northeastern United States. Gross margins were in line with our expectations of 12% in the quarter as compared to 12.8% in the same period last year. Our Oil Gas & Chemical segment revenues increased 32.4% to $73.6 million in the third quarter compared to $55.6 million in the third quarter last year, due to a higher volume of turnaround work, the acquisition of Pelichem and expansion of our core client base. As a result of the increased volume of order, gross margins improved to 10.9% as compared to 9% in the third quarter of fiscal 2012. The Storage Solutions segment generated third quarter fiscal 2013 revenue of $94.8 million as compared to third quarter revenues of $87.6 million in fiscal 2012. The 8.2% increase was primarily due to continued growth of our operations in Western Canada. Gross margins in the quarter were 9.3%. These were reduced by 160 basis points as a result of the $5.2 million of quarterly revenue we recognized a 0 profit on the Canadian tank project and a $1 million charge related to the contract settlement, both of which we've discussed previously. Last year, our gross margins for the third quarter were 11.4%. Revenues for the Industrial segment totaled $15.9 million in the 3 months ended March 31, 2013, compared to $3.1 million in the same period a year earlier. Fiscal 2013 revenue growth was largely attributable to our expanded mining and minerals operations. As a result of the increased volume of business, gross margins in the current quarter improved to 8.1% as compared to a negative 1.7% in the same period last year. Our mining and minerals business continues to gain momentum, and we were recently awarded a significant contract in our fertilizer business. We expect this segment to maintain profitable results as we go to the fourth quarter and into next year. Moving on to our 9-month results, consolidated revenues were $657 million, an increase of 18.5% from consolidated revenues of $554.2 million in the prior fiscal year. The increase in consolidated revenues was a result of increases in all 4 operating segments, with the most significant increase in the Oil Gas & Chemical segment. Consolidated gross profit increased from $61 million in the 9 months ended March 31, 2012, to $67.7 million in the 9 months ended March 31, 2013. The increase of $6.7 million, or 11%, was due to higher revenues partially offset by lower gross margins, which decreased to 10.3% in fiscal 2013 compared to 11% a year earlier. The margin decrease was primarily the result of the Canadian project and the legal charge previously discussed. Consolidated SG&A expenses were $42.6 million in the 9 months ended March 31, 2013, compared to $35.7 million in the same period a year earlier. The increase was primarily related to our planned strategic investments and the bad debt charge of $700,000. Net income for the 9 months of fiscal 2013 was $16.6 million or $0.63 per fully diluted share. Excluding the $3.1 million pretax charge in the second quarter on the Storage Solutions project in Western Canada, adjusted net income was $18.7 million and fully diluted earnings per share was $0.71 for the quarter -- for the 9 months. We earned net income of $15.4 million or $0.58 for the fully diluted share in the prior year. During the third quarter, our cash balance increased over $50 million and available liquidity of March 31, 2013 increased to over $160 million. The increase in cash and liquidity was due to improved working capital management. Lastly, we are updating our fiscal 2013 guidance. We expect revenue of $860 million to $890 million and fully diluted earnings per share of $0.87 to $0.94. That concludes our prepared remarks, so we'll now open the call up for questions.
Operator: [Operator Instructions] The first question comes from Tahira Afzal from Keybanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Things seem to be looking good. I know you're still having some feeding things in Canada. But could you comment a bit on your outlook? You've had, if I was to count, close to around 2 years of quarterly book to bill of over 1x. And I'm just wondering, is this a momentum you see continuing into next year? And then we keep hearing about cross labor issues from a lot of your peers. Are you still sort of catching up with what's happening? Or are you also planning in terms of labor, et cetera, as you see a year or 2 out from now?
John R. Hewitt: So I think there were 3 or 4 questions in there, so I'll try to answer all of them, with maybe 2 answers. As it relates to the continued growth on our backlog, based on the opportunity funnel we're seeing in really all of our segments, we think it is possible that we are continuing to build on our backlog. But certainly, it is -- would not be unusual from a quarter-to-quarter basis for our backlog to be sort of flat, depending on the timing of the inquiries and the awards by our clients. But the markets that we're in, storage, electrical, oil gas & chemical and industrial, all appear to and feel very strong to us. And right now, based on current economic conditions, we think that will continue. Like I said, certainly from quarter-to-quarter, there could be some flatness would occur based on the timing of awards and how individual work starts in those quarters. As it relates to labor availability, I mean, we are currently seeing some pressure in some of our markets. Western Canada would be one of those. Linemen on the East Coast would be another. Both of those areas, we feel some pressure on labor. Some of that is pressure that we put on ourselves to make sure that we're bringing only the top talent in our organization, that the projects that we are chasing and are going to be awarded are the projects that we think we can be successful and we can still deliver the highest quality outcome for our clients. So I would say that in some of our markets, we are starting to get into a position where we can be a little bit more choosy on the projects that we are going to chase and the ones that fit into our execution timing the best. Hopefully, Tahira, that answered your question.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Yes, it does. It was very helpful. And my follow-up question is you always give us an idea about your gross margins for the year on a segment-wide basis. And it seems you're tracking really well in all the segments, except perhaps Storage Solutions. So any update to your segment guidance?
Kevin S. Cavanah: Tahira, I think that when we look at each of those segments, we are tracking in-line with our expectations, definitely so for the Electrical Infrastructure segment and the Oil Gas & Chemical segment. The Storage segment as we continue to work off the -- or finish the project up in Western Canada, we're recognizing that as 0% margin. And we did have the charge related to the contract dispute from an old project. If we would have excluded those, we would have been in-line with the lower end of that 11% to 12.5% range of gross margins we've given for Storage Solutions in the past. And I think on the positive side also is the Industrial segment we turned profitable earlier than we thought, and we're happy with the direct margins we're seeing in some of those projects in that segment. And we haven't given guidance on that segment yet on what the margins are, but we said they will be in-line with the other segments.
Operator: The next question comes from Mike Harrison from First Analysis.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Can you talk a little bit about how much of an impact weather might have had in the third quarter? Obviously, last year we had an unusually warm weather. We're based in Chicago, and we had an unusually snowy first quarter here. Did that have an impact anywhere? And if so, just thinking about weather, what segments would be most susceptible to weather-related delays or negative impacts?
John R. Hewitt: So I'd say there wasn't anything in that quarter of any substantive impact to our operations. The areas of us -- for us that would have potentially both positive and negative impact to weather would be our electrical and infrastructure work on the East Coast, and our Western Canada operations, with heavy snowfall and cold weather conditions in the wintertime, can have some impact on our either the productivity or our ability to start projects.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Okay. And then you mentioned some projects being pushed out a little bit. How significant have those delays been? Are they moving forward now? And just kind of anecdotally what are you hearing from customers that is behind the delays?
John R. Hewitt: I think it's just sort of -- I don't think it's anything unusual. I think it's the normal starts and stops of some of our clients. We book their work with them, and then they may have either a permitting or planning or how they're flowing their capital into their projects. Or there may be, as we sit, specifically in our Storage business where we are doing the engineering and fabrication, there are some changes perhaps on different elements of those projects that maybe create a delay from 1 month to another. But I would say, they're nothing that would be exceptionally unusual.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: And then just wanting to understand kind of the contribution from Pelichem. How much contribution did that have to revenues in the quarter? And was that all in the Oil Gas & Chemical segment?
Kevin S. Cavanah: So when we talked about that Pelichem acquisition, we told you it was kind of essentially double the size of our industrial cleaning business, which has been previously $8 million to $10 million of annual revenue. And I will say that the Pelichem acquisition, we're definitely pleased with it, and the volume has definitely met our expectations. And all of the revenue for Pelichem is hitting in Oil Gas & Chemical.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Okay. And did Pelichem contribute to the backlog growth that you saw?
John R. Hewitt: Not significantly. I mean, they're like the rest of our industrial cleaning business. Their backlog is in and out in the quarter for the most part. So a lot of that does not have -- a lot of that work does not have a very long shelf life. And you have to remember the projects that are in the industrial cleaning business. They're small projects. They're could be 10,000, 15,000. Occasionally you might get something for 250,000. But they're basically -- they're in and out in the quarter.
Kevin S. Cavanah: So the backlog for our industrial cleaning, whether it's Pelichem or our legacy business, is really minimal at any given point in time.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: And then just one last one on the Storage Solutions business. I was wondering if you could comment on the margin performance in tankage projects outside of Cushing. If it is improving, is that a result of better execution and leverage on investments you've made? Is it an increasing number of multi-tank projects, less competition or maybe all of the above?
John R. Hewitt: So we've said the -- we've made some commentary in the past about Western Canada and the project that was -- that we talked about. So if you look at sort of our U.S. operations and our new tank business, I would say, that our guys are successfully expanding outside of Cushing. Most of their work is outside of Cushing. And the margins there -- the gross margins on those projects are meeting our expectations and are in the range of our sort of historical norms that we would expect.
Operator: The next question comes from Rich Wesolowski from Sidoti & Company.
Richard Wesolowski - Sidoti & Company, LLC: Kevin, would you mind quickly repeating the figures around the 2 items that's at [ph the tank margin, the legal charge and the amount of sales from the Western Canadian project that was written down?
Kevin S. Cavanah: Sure. So let's start with the contract dispute settlement. We have previously reserved that and then we -- that case really matured this last quarter. And as a result, we determined the best approach for us was to settle it. And we ultimately settled it for $1 million more than what we had reserved. So we recorded that entire charge, the entire $1 million increase as reserve in the third quarter. And then on the Canadian project, we had about $5.2 million of revenue flow-through in the quarter that's at 0% margin. So the combination of those 2 things had about 160-basis-point impact on our gross margin percentage. So I believe it was at 9.3% with everything in it. So you can do the math to what it was about those things.
Richard Wesolowski - Sidoti & Company, LLC: Okay. Did the company write down any tank projects aside from -- or it sounds like you didn't write down Western Canada this quarter at all. Did you write down any tank projects this quarter?
Kevin S. Cavanah: We really did not have any significant margin fades [ph] in the quarter.
Richard Wesolowski - Sidoti & Company, LLC: Okay. And you alluded to softness in the maintenance and repair tank margin. Would you mind elaborating on that?
John R. Hewitt: Yes. I think this is -- I think it might be a little bit of a trend in the industry. I think our -- we're finding some -- a little bit of tougher competition in some of the regions. I think our clients, some of their focus is more on new build than repair and maintenance. And so I think it's just a combination of a variety of market forces that have been hurting the margins in that repair and maintenance section of our business. So it's something we're paying attention to. We recognize it. And we're going to be looking at it on a go-forward basis on what our strategic steps are going to be.
Richard Wesolowski - Sidoti & Company, LLC: So putting all that altogether, it sounds like with regard to the 11% and 12.5% target margin range for tanks that nothing would need to improve or change in the market [indiscernible] conditions, et cetera, in order for you to achieve that in fiscal '14. It's just a matter of clearing out the headache.
John R. Hewitt: Yes.
Richard Wesolowski - Sidoti & Company, LLC: Okay. Are you now toward the end of the process of finding new subs and suppliers and labor in the areas outside of the Cushing that you branch into?
John R. Hewitt: Yes, yes. So for the most part, I think, our groups here in the U.S. are operating very well in some of the stronger markets that we're seeing outside of Cushing down to Texas and up into the Bakkens and up into Michigan and Wisconsin and Illinois and some of those places that we're operating. So we're feeling very comfortable about how we're operating today.
Richard Wesolowski - Sidoti & Company, LLC: Okay. Last one. In the middle of the last decade, Matrix would log SG&A numbers at a little more than 5% of sales. And I'm wondering if there's something different in the company today as you've constructed a wider entity that would prevent you from getting to a similar range if the revenue growth cooperated over the next few years.
Kevin S. Cavanah: So Rich, back when we were at that low 5% range that was -- first of all, that was before the implementation of FAS 123, which was a stock-based compensation. And that had a probably 0.5 percentage point impact to SG&A margins. And then we've talked about investments we're making to improve a number of areas for our company and to set ourselves up for the growth that we're seeing right now and in the future. And I think over time, we would expect to see that, that 6.5% margin come down. I'm not sure how quickly that's going to happen. But we've talked about seeing our operating income margins improve, 100, 150 basis points. And so I think as we've talked about this 5-year -- this 5-year period, where we put our strategic plan out for, we expect to see those margins start to improve. And as that occurs, that SG&A percentage is going to be a piece of that. Now I can't -- We're still in the budgeting phase for fiscal '14. So I don't have a number to tell you what the model for '14 on SG&A percentage. But I would expect our fourth quarter SG&A dollar amount to be similar to what it was in the third quarter.
Operator: The next question comes from Matt Duncan from Stephens, Inc.
Matt Duncan - Stephens Inc., Research Division: First question I've got, Kevin, on the Canadian tank job, how much revenue is left on that job to flow through here in the fourth quarter?
Kevin S. Cavanah: Well, so we're going to complete that project here within 30 days. It will be something less, probably less than the $5 million we recognized in the third quarter. I don't know if it's $5 million, $3 million or $4 million. I don't have the exact number. That's a guess.
Matt Duncan - Stephens Inc., Research Division: Okay. John, in the Oil Gas & Chemical segment, you guys had very good growth there again this quarter despite a tough comp for last year. You talked a little bit in your prepared comments about sort of what's going on there. As you look forward, can you talk about sort of what your expectations are for growth in that business? It seems to be one of your fastest growing right now. I know the outlook for turnaround activity in the spring and fall still seems to be pretty good. And maybe if you could talk about whether or not you're seeing many sort of small capital construction projects come back and what the bidding activities are like there.
John R. Hewitt: Yes, our guys are talking that the next couple of years in refining is going to be very, very strong on turnarounds. So both in the simple like turnarounds that we do with heat changes, as well as the heavy turnaround business, which our guys have done an excellent job of gaining market share there. So we continue to see the ability for us to gain ground and market share and take advantage of what we believe to be over the next couple of years some pretty heavy spending by our refinery clients and turnarounds. On the capital side, currently while we're seeing some small cap work, a lot of the refiners don't have big, large capital projects spending, which, while we don't do large-cap projects in the refineries, we do get some of the fallout on those kind of projects. So but we do think that, that will start to -- that's going to start to turnaround over the time horizon, and that we think over the next several years that the refinery companies, downstream companies, will be spending significant capital dollars as they continue to upgrade and improve the facilities to be able to change a variety of new types of oil that they're getting.
Matt Duncan - Stephens Inc., Research Division: Okay. In the Industrial segment, you obviously had a pretty meaningful win there this quarter. But you also had a pretty hefty jump in revenues. Was there any of that $60 million win that was recorded in revenues in the March quarter?
Kevin S. Cavanah: Very, very little, if anything.
Matt Duncan - Stephens Inc., Research Division: Okay. So what type of work then was driving the nice increase that you saw there? I mean, you were up almost $9 million there from the December quarter. Obviously, that's a building business.
John R. Hewitt: Right. So we continue to have some minimal work in our material and handling business and some engineering and pre-project work. Majority of that was driven in our mining and minerals business, both in out of our Tucson office, where they've had -- they're continuing to gain ground on their projects. They had a nice project for one of our major clients out there to install a ball mill. And then in our Salt Lake business, we had a fairly major project going with a client there that generated probably a majority of that revenue growth in the quarter.
Matt Duncan - Stephens Inc., Research Division: Okay. And then what's the timeframe on that fertilizer facility? How long is that work going to take to complete?
John R. Hewitt: A couple of years.
Kevin S. Cavanah: On the Industrial segment. So that project John mentioned, the large mining project, that's pretty much completed here in the fourth quarter. So when you're thinking about, we still think positive things for the fourth quarter for our Industrial segment, but I don't know that we'll see the revenues as high in the fourth quarter as we did in the third.
Matt Duncan - Stephens Inc., Research Division: Okay, that's helpful, Kevin. And the last thing for me on the M&A pipeline, just any updates you can give us sort of what your priorities are there and what you guys are seeing out in the marketplace.
John R. Hewitt: Our priorities continue to be the industrial cleaning business, where we would like to do at least one of those a year for the next couple of years. And the Pelichem acquisition we felt has been very -- to date, it's been very successful, and we're very happy with how that's come together. And so we'll continue to look at those. We'll continue to look at avenues to expand the footprint of our Electrical business. And so we're fairly active there, looking at acquisition opportunities. But then just in general, at our ability to improve and increase our bench strength and capabilities in construction maintenance and turnaround work, those are all -- those are sort of our larger-sized acquisition opportunities. But those are our 3 main focus areas.
Operator: The next question comes from Martin Malloy from Johnson Rice.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: Could you talk about if there are any further opportunities on this greenfield nitrogen fertilizer complex in Iowa for you to win? And there are a number of ammonium projects around the country that are being proposed. Could you talk about opportunities for some of those other projects?
John R. Hewitt: Yes. On the Iowa project specifically, we have been closest to the client on the storage liquefaction and send-out portion of the project. We've been working with them for quite some time. The Phase 1 of that was the storage -- the storage tanks, which had a long timeline on them, and they were critical path of that piece of the plant. And this part of the plant I'm talking about is a small section of a $1 billion project. So we continue to feel comfortable with the opportunities for us related to this -- to the load-out liquefaction and storage piece of the project, which you can say is sort of a black box to the main project. And they're depending on our availability of resources and the quality of the packages and the commercial conditions there. There may be some opportunities for us, as well, on the balance of the project. To the second part of your question, is that in our Storage group, we are seeing opportunities for other ammonia and fertilizer-type storage projects. And so we have some of those projects in-house now that we are looking the proposals on.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: Okay. And then I believe that there's growing interest in export terminals for some of the NGLs, like propane and ethane. Can you all play a role there? And if so, what would those potential project sizes be?
John R. Hewitt: It would be hard for me to quote on project sizes. I would say you're thinking in the projects are small as $15 million to $20 million and as large as $60 million to $80 million. And yes, those opportunities are out there, and we are actively looking at some now. And so we would see that some of those projects moving into -- we hope we get into our portfolio and our backlog over the coming year.
Operator: [Operator Instructions] The next question comes from Tristan Richardson from D.A. Davidson.
Tristan Richardson - D.A. Davidson & Co., Research Division: Just a question. You guys have mentioned in the Oil & Gas segment a larger customer base. I was curious, are you getting work from new customers? Or are these different facilities within your existing customer base that you haven't worked out before? I'm just curious.
John R. Hewitt: Yes. So we're getting more work from existing customers in different plants. And we are picking up some occasional new customer and new client. So we -- our guys have done a great job of building up our brand and our reputation in that space. And to the extent where we're getting -- where we're working in new plants for existing customers, we are getting more work and being able to bring more of our suite of services into existing clients. And then we are occasionally catching the new client as well. So it's really sort of all of the above.
Tristan Richardson - D.A. Davidson & Co., Research Division: Okay. And is it more a function of taking share from smaller regional competitors? Or are you going head-to-head against people your size and larger?
John R. Hewitt: Yes, I think we are gaining some ground against some of our competition in some of our -- in some markets in some regions of the country. And because of the quality of the work we're providing, I think our clients, in some cases, are giving us an opportunity to take on some work that we haven't in the past.
Tristan Richardson - D.A. Davidson & Co., Research Division: Okay, great. And then just real quick. Kevin, just an update on CapEx, how that's looking for the year?
Kevin S. Cavanah: Yes. So I think that when we look at this thing, our CapEx has been running at around $5 million a quarter. I would expect something similar in the fourth quarter. So we'll probably be $22 million or so, for the year, $23 million.
Operator: The next question comes from Rich Wesolowski from Sidoti & Company.
Richard Wesolowski - Sidoti & Company, LLC: As it looks more and more like LNG export terminals are going to be approved, I was hoping you'd review the company's engineering and craft capability with regard to the large cryogenic storage, specifically how it has improved since the Sabine Pass Project was completed by the prior management.
John R. Hewitt: Well, certainly within our organization, we have the skill sets to engineer, fabricate and construct large LNG storage facilities, at least as it relates to the metals portion. And I think that over time since the Sabine Pass job, I think our organization has done a good job of pulling together the resources to be able to provide a more integrated project service offering. And we feel very comfortable today in our ability to successfully execute those types of storage facilities. Whether they will be a significant amount of the large storage tank opportunities for us to take a part of still remains a bit of a question. But I think that certainly, on our larger facilities, we have an integrated model to be able to be successful.
Richard Wesolowski - Sidoti & Company, LLC: Are the large cryogenic tank projects inherently much riskier than your typical large tank job? And would you suspect the margins are commensurate?
John R. Hewitt: Well, it's a larger project. It's a little more intricate. The type of metals used in those projects is different. Some of the welding criteria is different. Depending on the locations of where they are may be -- could potentially be a little more remote than some of the other areas. But my expectation would be that the margins in those kind of projects would be at or above the margins -- on average, the margins we see in our normal aboveground storage tank business.
Operator: At this time, I am showing no further questions. I would now like to turn the call back over to John Hewitt for closing remarks.
John R. Hewitt: I just want to thank everybody for joining us on this quarter's update call. And I wish everybody a safe and happy fourth quarter. We'll talk to you in about 3 months. Thank you.
Kevin S. Cavanah: Thanks.
Operator: Ladies and gentlemen, that does conclude the conference for today. Again thank you for your participation. You may all disconnect. Have a good day.